Operator: Good afternoon, everyone, and thank you for participating on today's First Quarter, 2024 Corporate Update Call for Barfresh Food Group. Joining us today is Barfresh Food Group's founder and CEO, Riccardo Delle Coste, and Barfresh Food Group's CFO, Lisa Roger. Following prepared remarks, we will open the call for your questions. The discussion today will include forward-looking statements. Except for historical information herein, matters set forth on this call are forward-looking within the meaning of the safe harbor provisions of the Private Securities Litigation Reform Act of 1995, including statements about the company's commercial progress, success of its strategic relationships, and projections of future financial performance. These forward-looking statements are identified by the use of the words such as grow, expand, anticipate, intend, estimate, believe, expect, plan, should, hypothetical, potential, forecast, and project. Continue, could, may, predict, and will, and variations of such words and similar expressions are intended to identify such forward-looking statements. All statements other than the statements of historical fact that address activities, events, or developments that the company believes or anticipates will or may occur in the future are forward-looking statements. These statements are based on certain assumptions made based on experience, expected future developments, and other factors that the company believes are appropriate under the circumstances. Such statements are subject to a number of assumptions, risks, and uncertainties, many of which are beyond the control of the company. Should one or more of these risks or uncertainties materialize, or should underlying assumptions prove incorrect, actual results may vary materially from those indicated or anticipated by such forward-looking statements. Accordingly, investors are cautioned not to place undue reliance on these forward-looking statements, which speak only as to the date they are made. The contents of this call should be considered in conjunction with the company's recent filings with the Securities and Exchange Commission, including its annual report on Form 10-K, and the quarterly reports on Form 10-Q, and current reports on Form 8-K, including any warnings, risk factors, and cautionary statements contained therein. Furthermore, the company expressly disclaims any current intention to update publicly any forward-looking statements after this call, whether as a result of new information, future events, changes in assumptions, or otherwise. In order to aid in the understanding of the company's business performance, the company is also presenting certain non-GAAP measures, including adjusted EBITDA, which are reconciled in a table in the business update released to the most comparable GAAP measures. The reconciling items are non-operational or non-cash costs, including stock compensation and other non-recurring costs, such as those associated with product withdrawal, and the related dispute and certain manufacturing relocation costs. Management believes that adjusted EBITDA provides useful information in the investor, because it is directly reflective to the period-to-period performance of the company's core business. Now, I will turn the call over to the CEO of Barfresh Food Group, Mr. Riccardo Delle Coste. Please go ahead, sir.
Riccardo Delle Coste: Good afternoon, everyone, and thank you for joining us for our record first quarter 2024 earnings call. I'm extremely pleased to report that this quarter was a historic one for our company. We delivered the highest quarterly revenue in our company's history, higher gross margins, and positive adjusted EBITDA for the first time. Our results were driven by robust demand for our carton product, supported by increased capacity, and the relaunch of our five-to-one 100% juice concentrates, after a temporary pause due to pandemic-related challenges. This strong top-line performance translated into positive adjusted EBITDA for the first time in the company's history. A monumental achievement and a testament to the hard work and dedication of our team. Our gross margin also reached the highest level since early 2021, reflecting our continued focus on operational excellence and cost discipline. Our record first quarter results had many drivers, including our ability to solidify a manufacturing footprint by adding capacity to existing co-packers for both bottles and cartons. With our record first quarter performance and the addition of 2,600 recently announced school location wins within the education channel, we are well on track to generate record revenue for fiscal year 2024, accompanied by year-over-year margin improvement throughout the year as we continue to focus on additional supply chain improvements. And we will achieve this despite not having yet replaced our largest bottle manufacturer. However, we are working hard to onboard a new high-capacity bottle manufacturing partner before the beginning of the new school year in August, which will pave the way to even greater revenue growth opportunities ahead. To enhance our strategic growth initiatives and bolster operational capabilities, we recently announced the Pivotal Executive Hire. We hired Marko Matla as Vice President of Supply Chain and Contract Manufacturing, speed-heading our efforts to seamlessly onboard a new bottle co-manufacturer and the recently acquired school accounts. With over 25 years of comprehensive end-to-end supply chain expertise, Marko brings a wealth of invaluable experience in establishing robust product manufacturing and supply chain operations. His strong command over the domain coupled with deep-rooted relationships with co-manufacturers, food service customers, and distributors positions him exceptionally well to ensure a steady product flow and uncompromise service delivery to all our valued customers. This strategic hire underscores our commitment to building a formidable supply chain infrastructure that can scale efficiently to support the long-term growth plans. Additionally, we have significantly expanded our sales network and in doing so landed numerous large customer wins. Within just the last month, we have added over 2,600 new school locations and a collective student body of over 2 million students that will be served our smoothies on their breakfast menus or our cart commencing this fall. With a robust sales pipeline in place, we anticipate further school bids to be won and announced in the coming months. Earlier this week, we also announced an agreement with the largest regional sales broker in the Southeast. This agreement rapidly accelerates our sales reach and customer acquisition capabilities across the Southeast as we now have access to an additional 82 new salespeople. Under the agreement, the sales broker will represent Barfresh's comprehensive portfolio of products to all its customer segments, including the Education Channel and Food Service Channel across the Southeast region. This partnership is a great example of how the momentum is building in our company and we are putting the important building blocks in place after overcoming the previous supply challenges that are increasingly behind us. By joining forces, we gain an extensive sales team boasting specialized teams with deep-rooted relationships in the K-12 education market, healthcare, recreation, amusement parks, quickserve and regional chain restaurants. Their expertise and customer knowledge ensures our suite of products penetrate all crucial customer segments at scale. Emerging from setback space during the pandemic, this agreement is part of our concerted efforts to re-engage and actively target all customer segments with our complete offerings. To recap our incredible start to the year and why we are very confident in a record year in 2024 for revenue, gross margins and cash flow, we recently announced over 2600 new schools, relaunched our five-to-one juice concentrates aimed at higher volume locations, signed with the largest southeastern sales brokerage organization targeting all of our customer groups and lastly, we are confident we'll sign an additional bottle manufacturer before the beginning of the '24-'25 school year. In summary, we are incredibly proud of our achievements thus far this year and we are well positioned to build on this momentum as we continue throughout fiscal year 2024. I'll now turn the call over to our CFO, Lisa Roger. Lisa.
Lisa Roger: Thank you, Riccardo. Revenue for the first quarter of 2024 increased 35% to $2.8 million compared to $2.1 million in the first quarter of 2023. The increase in the first quarter revenue as a result of improved supply due to increased capacity in our carton production this quarter over last quarter and improvements in bulk sales. Partially offset by a continuation into the first six weeks of the quarter of an industry-wide shortage of four-ounce and eight-ounce cartons that began in December 2023. Gross margin for the first quarter of 2024 was 41.4% compared to 40.9% for the first quarter of 2023. The year-over-year increase is due to product mix and a slight improvement in the cost of supply chain components. Our net loss for the first quarter of 2024 was $449,000 as compared to a net loss of $889,000 in the first quarter of 2023. The year-over-year improvement is a result of improved revenue and margins as well as a reduction in operating expenses due to cost-saving measures. Selling, marketing, and distribution expense for the first quarter of 2024 was 694,000 or 25% of revenue compared to 667,000 or 32% of revenue in the first quarter of 2023. The increase in cost resulted from an increase in freight associated with the increase in revenue. The reduction in cost as a percentage of revenue is due to freight efficiencies and operating leverage from relatively fixed personnel costs. G&A expenses for the first quarter of 2024 decreased 14% to $858,000 compared to $994,000 in the same period last year. The decrease in G&A was driven by a decrease in personnel costs resulting primarily from a reduction in headcount and a reduction in operating expense associated with our 2022 product withdrawal. For the first quarter of 2024, our adjusted EBITDA was approximately $53,000 compared to a loss of $544,000 for the prior year period. As Riccardo said, this is the first time in our company history that we achieved positive adjusted EBITDA and a significant milestone in our journey towards profitability. Now moving on to our balance sheet, as of March 31, 2024, we had approximately $1.2 million in cash and approximately $1.3 million of inventory on our balance sheet compared to $1.9 million in cash and $1.2 million of inventory as of December 31, 2023. Now I will turn the call back to Riccardo for closing remarks.
Riccardo Delle Coste: Thank you, Lisa. This quarter marked a series of tremendous milestones for our company. Record quarterly revenue, our first positive adjusted EBITDA and highest gross margins in over two years. We are well-positioned to build on this momentum and deliver a record fiscal year in terms of both the top and bottom line. Looking ahead, the replacement of our loss bottle manufacturer will further fuel our growth while initiatives like enhancing our operational and sales capabilities, expanding distribution and re-engaging with existing customers, as well as attracting new ones, opens up additional opportunities. We expect more record results throughout the year. After a typically seasonal slow Q2, we believe our Q3 will be the highest revenue in the company's history. We have never been more confident in our ability to drive long term sustainable shareholder value. I would like to thank our entire team for their hard work and dedication that made these achievements possible. And with that, I would like to open up the line's questions. Operator.
Operator: Thank you. At this time, we will be conducting a question and answer session. [Operator Instructions] Our first question is coming from the line of Nicholas Sherwood with Maxim Group. Please proceed with your question.
Nicholas Sherwood: Hi. Congrats on the quarter. For all these new school districts that you added, are any of these lost customers you re-engaged with or a lot of these new school districts. Is there any more potential to bring back any of the school districts you lost when you had those manufacturing issues?
Riccardo Delle Coste: Yes, sure. A lot of the accounts and new accounts that are coming on are new accounts. We do have some of the older ones that we hope still to come back. More so, when we finalize the new bottle manufacturer, we'll be able to target those larger ones more specifically. There's a lot more white faith in front of us, especially as we go into the form and begin of the new school year in which time we should have the new bottle manufacturer in line up as well.
Nicholas Sherwood: Talking about the new bottle manufacturer, how much of your current capacity would you be able to use to service the contracts for next year? And how much excess capacity would the new manufacturer give you?
Riccardo Delle Coste: We tapped out with our existing bottle manufacturer. So that equates probably for that at least 30%.
Lisa Roger: 30% of revenues are you asking that. Yes.
Riccardo Delle Coste: Yes.
Lisa Roger: That's about right.
Riccardo Delle Coste: So, the new bottle manufacturer is an enormous amount of white space for more business with the bottles as well as getting out and recouping some of those lost customers.
Nicholas Sherwood: And then my final question before I turn into queue. Do you have any update on the military or entertainment channels?
Riccardo Delle Coste: Yes, so some of those channels in the bulk certain products affected by COVID. That really highlights one of the reasons why we are focusing on updating our broker network to now cover the full range of products that will also be targeting these additional segments in other channels. The perfect example of that is actually the Statue of Liberty, for example. We just re-signed Statue of Liberty in Ellis Island for new five-year -- another five-year contract. And with that customer, we are actually the number one products at the locations, out of all the other food and beverage items there. So, we're seeing a lot of these food service locations, whether it's entertainment or amusement parks or aquariums, museums, et cetera, all starting to come back now in [Audio Gap].
Operator: Ladies and gentlemen, please stand by. The event will resume momentarily. We thank you for your patience. Ladies and gentlemen, we thank you for your patience. Riccardo, you may resume.
Riccardo Delle Coste: Oh, so which part of the response did you hear?
Nicholas Sherwood: You re-signed the contract with the Statue of Liberty and that the food service is coming back online now that the pandemic has sort of moved into the review.
Riccardo Delle Coste: Yes, a lot of those are seasonal as well. So what you find is that the many times you go when I do the planning, et cetera., is very seasonal. So it does take time to get back into the menu planning windows based on everything else that the organizations have going on. So we're starting to do that now.
Nicholas Sherwood: Understood. Well, thank you for all that detail on that. I'll return it to the queue.
Operator: Thank you. [Operator Instructions] Please hold while we pull for additional questions. [Operator Instructions] Ladies and gentlemen, we have reached the end of our question and answer session. And this does conclude today's teleconference. We thank you for your participation and you may disconnect your lines at this time.